Operator: Good morning, and welcome to Air Products' Second Quarter Earnings Release Conference Call. Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Sidd Manjeshwar. Please go ahead.
Sidd Manjeshwar: Thank you, Sharon. Good morning, everyone. Welcome to Air Products' second quarter 2023 earnings results teleconference. This is Sidd Manjeshwar, Vice President of Investor Relations and Corporate Treasurer. I am pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Dr. Samir Serhan, our Chief Operating Officer; Melissa Schaeffer, our Senior Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. Today's discussion contains forward-looking statements, including those about earnings, capital expenditure guidance, business outlook and investment opportunities. Please refer to the cautionary note regarding forward-looking statements that is provided in our earnings release and on Slide number 2. Additionally, throughout today's discussion, we will refer to various financial measures, including earnings per share, operating income, operating margin, EBITDA, EBITDA margin, the effective tax rate and ROCE, both on a total company and segment basis. Unless we specifically state otherwise, statements regarding these measures are referring to our adjusted non-GAAP financial measures. Reconciliation of these measures to our most directly comparable GAAP financial measures can be found on our website in the relevant earnings release section. Now, I'm pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Sidd, and good day to everyone. Thank you for taking time from your very busy schedule to be on our call today. I am proud to say that our people delivered another set of outstanding results this quarter, continuing to grow our business in a challenging environment. Our team also continued to make great progress in executing our growth strategy, which is focused on the production of low-carbon and zero carbon hydrogen. I would like to thank each one of our talented, dedicated and motivated employees at Air Products for their commitment and hard work. Now please turn to Slide #3, our safety performance, which is always our highest priority. As you can see, we have made significant progress since 2014, but we are always working hard to do better. I want to make it clear that our goal is to achieve zero incidents and zero accidents. Slide #4, which we have shown you many, many times before, summarizes our management philosophy which is critical to Air Products' success and will continue to guide our actions as we move forward. Now please turn to Slide #5. Our second quarter adjusted earnings of $2.74 per share improved $0.40 or 17% versus last year despite the lingering economic headwinds in many parts of the world and exceeded the top line of our guidance for the quarter. We have consistently delivered earnings and top line growth driven by both price and volume, which were collectively up 14% for the quarter versus quarter of last year. We also brought new projects on-stream that further enhance our earnings. Our roughly $16 billion of backlog with more than $11 billion focused on energy transition will continue to drive long-term earnings growth. Now please turn to Slide #6. As mentioned last quarter, we have again raised our quarterly dividend this year, up 8% to $1.75 per share per quarter, extending our record of more than 40 consecutive years of dividend increase. We expect to pay out more than $1.5 billion to our shareholders in 2023, demonstrating our commitment to return cash to shareholders. Now please turn to Slide #7, which shows our EBITDA margin trend. This continues to be my favorite slide as it shows our business performance over time. We were happy to see our margins improve over the past two quarters after the decline which was caused largely due to the dilutive effect of higher energy cost pass-through that increases our sales but doesn't increase our bottom line. We expect our margin to move higher as energy costs decrease while we continue to improve productivity in our base business and add new projects. Now please turn to Slide #8, where I would like to share a few thoughts on our hydrogen strategy. We knew being a first mover in real mega projects has its challenges and that novel ideas and approaches are sometimes met with skepticism initially. When we launched the NEOM green hydrogen project three years ago, we were the first hydrogen producer to capitalize on the ideal renewable energy resources in the Middle East and the first to recognize ammonia's potential as an effective transport medium for hydrogen. When we announced the Louisiana blue hydrogen project in 2021, we were again first mover to act on carbon capture and sequestration on the U.S. Gulf Coast. Now the promise of clean energy is a reality. These projects have gained significant government support around the world, and many companies have since followed our lead and want to become a hydrogen company, announcing large clean hydrogen projects and exploring ammonia dissociation innovation. We believe these developments are actually good for the industry because a successful energy transition will require the work of many different companies, organizations and governments around the world. However, as a global leading hydrogen producer, we are confident that our experience, know-how and proprietary assets will continue to capture the first mover advantage and support Air Products' success in leading clean energy and clean hydrogen development for the decades to come. Now it is my pleasure to turn the call over to Melissa Schaeffer, our Chief Financial Officer. Melissa?
Melissa Schaeffer: Thank you, Seifi. As Seifi mentioned earlier, our business performed very well this quarter despite significant macroeconomic headwinds. Price and volume gained 14% and all profit metrics were up double digits versus last year. I, too, would like to thank the Air Products team for their continued outstanding efforts. In March, we were proud to announce the successful issuance of our first-of-its-kind green bond with principal amount of $600 million and €700 million after publishing our green finance framework. With these offerings, Air Products became the first investment-grade U.S. issuer to execute multicurrency green bonds on the same day. Additionally, we are very proud to be the first U.S. chemical company to qualify green and blue hydrogen projects as an eligible expenditure category, which further demonstrates our position as a leader in advancing the world's energy transition. Now please turn to Slide 9 for a review of our second quarter results. In comparison to last year, volumes increased 6% driven primarily by better on-site activities. Volume has been positive for eight consecutive quarters. Merchant price is 18% higher compared to last year, the sixth consecutive quarter of double-digit increases. This equates to an 8% price gain for the total company, for which we saw positive price gains across all regions. This partially was offset by a 1% lower energy cost pass-through and currency translation from the strong U.S. dollar, which reduced both sales and EBITDA by about 4%. Despite this headwind, EBITDA improved 13%, and EBITDA margin was 140 basis points higher as strong price, volume and the contribution from the second phase of the Jazan project more than offset higher costs. ROCE climbed steadily, reaching 11.7%, which is 140 basis points higher than last year. We expect ROCE to further improve as we bring new projects on-stream and continue to put the cash on our balance sheet to work. Adjusting for cash, our ROCE would have been 13.5% this quarter. Sequentially, volume was up 3% driven by improvement in merchant and our on-site business. EBITDA was up 6%, driven by better volume and equity affiliate results. Now please turn to Slide 10 for a discussion of our earnings per share results. Our second quarter GAAP earnings of $1.97 per share included two non-GAAP items, which had a combined impact of $0.77 per share. First, we recorded a $0.69 charge for business and asset actions primarily related to our previously announced decision to withdraw from Indonesia coal gasification and permanently suspend the construction of a plant in Ukraine due to the ongoing uncertainty regarding Russia's invasion of the country. Secondly, the non-service components of our defined benefit plans resulted in an $0.08 cost this year versus a $0.04 gain last year. Excluding the non-GAAP items, our second quarter adjusted earnings was $2.74 per share, up $0.40 or 17% compared to last year, driven by strong pricing and higher equity affiliate income. Price, volume and cost together added $0.40. Our price actions more than offset variable cost increases. Price, net of variable costs, contributed over $0.70 this quarter, and volume improvements contributed an additional $0.12. Cost was a headwind of $0.44, but this increase does not represent our new run rate. In addition to inflation and costs related to the execution of our growth strategy, this quarter we saw increased planned maintenance activities, the on-stream project costs and other onetime items we do not expect to repeat. Meanwhile, the completion of the second phase of the Jazan project and good results from our other unconsolidated joint ventures in the Americas and Europe drove equity affiliate income $0.16 higher. Our consolidated joint ventures also performed well this quarter. And we shared the improved results with our partners as shown in the non-controlling interest line. The effective tax rate was 120 basis points unfavorable due to lower tax benefits this year. We still expect an effective tax rate of 19% to 20% for FY 2023. Now please turn to Slide 11. Our distributable cash flow continued to improve, driven by growing EBITDA and stable cash expenses, including interest, cash tax and maintenance CapEx. Over the last 12 months, we generated about $3.2 billion of distributable cash flow or over $14 per share. From our distributable cash flow, we paid over 45% and $1.4 billion as dividends to our shareholders while maintaining more than $1.7 billion to invest for growth. Our ability to grow cash flow, especially in challenging conditions, demonstrates the strength and stability of our business, which enables us to continue creating shareholder value by increasing dividends and deploying capital for our high-return projects. Slide 12 provides an update of our capital deployment. Our capital deployment potential through fiscal 2027 remained stable at roughly $35 billion, which includes over $7 billion of cash and additional debt capacity available today, about $15 billion we expect to be available by 2027 and $13 billion already spent. We still believe this capacity is conservative given the potential for additional EBITDA growth, which would generate additional cash flow and additional borrowing capacity. As always, we continue to focus on managing our debt balance to maintain our current targeted A/A2 rating. We have adjusted our backlog to reflect our recent developments, including the successful completion of our second phase of the Jazan project, the lower equity contribution for NEOM expected from the finalization of the project financing and our withdrawal from coal gasification in Indonesia. Our current backlog of about $16 billion will provide a substantial amount of growth in the future, and we are looking to add additional projects. We have already spent 37% and committed 17% of the updated capacity we show on this slide. We have made great progress and still have substantial investment capacity remaining to invest in high-return projects. We believe that investing in these high-return projects is the best way to create shareholder value for the long run. We continue to evaluate our capital deployment options and determine the best way to use the available cash entrusted to us by our shareholders. Now to begin the review of our business segment results, I'll turn the call over to Dr. Serhan.
Dr. Samir Serhan: Thank you, Melissa. During the second quarter, we saw broad-based improvements across our businesses. Results improved in each of our regional segments versus last year, driven by strong price and volume. Our commercial teams around the world worked hard to make sure that we realize the value of our offerings. And we successfully brought in new projects on-stream to help drive our results. We saw elevated planned maintenance activity due to customer turnarounds in multiple regions, but our volumes again improved this quarter. In addition to energy transition-related investment, we see significant investment opportunities of various project sizes in our base business. We continue to win our fair share of traditional projects across the region and in various industries. Our small- to mid-sized project activities in Asia were particularly robust. We continue to see strength in our small to midsized on-site business globally. Now please turn to Slide 13 for a review of our Americas segment results. Compared to last year, Americas EBITDA was up 14%, supported by higher price and volume. Merchant price improved 21%, the third quarter in a row that we exceeded a 20% increase. On-site volumes were up on a strong hydrogen demand. EBITDA margin of 37% was roughly flat as positive price offset higher costs, largely driven by higher planned maintenance activity, inflation and other onetime items. Sequentially, EBITDA was flat as favorable price and equity affiliate income offset higher costs. Additionally, we also enjoyed successes in larger traditional projects. Yesterday, we announced two new world-scale carbon monoxide projects in Texas with secured long-term off-take contracts from Eastman and LyondellBasell. This project will expand our world's largest carbon monoxide pipeline network in the U.S. Gulf Coast and enhance supplier reliability to our customers. We are committed to our base business while pursuing our growth strategy in low- and zero-carbon hydrogen. Please turn to Slide 14 for a review of our Asia segment results. Our results in Asia improved despite the lingering effect of COVID-19 in certain parts of China and higher energy costs. Compared to last year, EBITDA was up almost 10% despite a 7% negative currency impact. Merchant price improved to 12%, which more than offset higher variable costs. Volume improved 7% driven by [indiscernible] on-site, including the addition of over 13 new assets in the past year, mostly in electronics, glass and chemical application. Sequentially, volume was flat as the new assets offset the seasonal Lunar New Year slowdown. Now please turn to Slide 15 for a review of our Europe segment results. For Europe, compared to last year, the story is price. And nearly 20% gain in merchant pricing drove the region's profits and margins significantly higher. This is the sixth consecutive quarter of double-digit merchant price gain for the region. Additionally, on-site activities backed up as we saw a recovery in our hydrogen volumes. EBITDA increased more than 30%, while EBITDA margin was more than 750 basis points higher as energy costs continue to come down. Sequentially, EBITDA was higher driven by favorable volume and equity affiliate income. EBITDA margin also improved, driven by the higher volumes and equity affiliate income as well as the lower energy cost pass-through. Now please turn to Slide 16 for a review of our Middle East and India segment results. Stronger base volume increased sales but higher maintenance activity negatively impacted operating income. The second phase of Jazan project, which we closed in mid-January, added to our equity affiliate income and it drove EBITDA higher. Both the first and second phases of Jazan project have contributed as we expected, consistent with our commitment. Please turn to Slide 17 for our Corporate and Other segment results. This segment includes our sale of equipment businesses as well as our centrally managed functions and corporate costs. The sales and profit for our Corporate and Other segment were lower this quarter, driven by a lower contribution from our sale of equipment business and higher cost as we continue to add resources to support our growth strategy. Customers are very interested in our LNG technology and equipment, and we are pleased to see that our work resulted in four project wins recently. We announced two significant LNG sell of equipment projects and we look forward to making additional announcements in the future. As Seifi and Melissa have already mentioned, the outstanding results of this quarter are a testament of the resilience to our business and the hard work and commitment of our people around the world. I would like now to turn the call back over to Seifi to provide his closing remarks. Seifi?
Seifi Ghasemi: Thank you, Dr. Serhan. Now please turn to Slide #18. Our second quarter results exceeded our previous guidance. However, the outlook for the global economy as a whole remains uncertain. Therefore, we have modestly raised our fiscal year 2023 guidance to $11.30 to $11.50 per share versus $11.20 to $11.50 announced last quarter. For the third quarter of fiscal year 2023, our earnings per share guidance is $2.85 to $2.95, up 10% to 14% over last year. We still see our CapEx at around $5 billion to $5.5 billion for this year, including the approximately $1 billion that we paid for the second phase of the Jazan project. Now please turn to Slide #19. Air Products was, 80 years ago, the pioneer of the on-site business model, and we were also the first to develop the on-site hydrogen business. Now we are again spearheading the development of large low-carbon intensity hydrogen projects to address the enormous opportunities provided by the energy transition. This drive to lead is part of our culture and shared by our people who have the courage to lead the charge. As I have mentioned many times, the long-term competitive advantage of an enterprise is rooted in the commitment and motivation of its people. This principle has been clearly demonstrated by our past and the leaders into the future. It is our people and their commitment and motivation. Now we are very pleased to answer your questions. Operator, we are ready for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from David Begleiter with Deutsche Bank. Please go ahead.
David Huang: This is David Huang here for Dave. First, can you talk about the merchant volume trends you're seeing in April and May, maybe by region?
Seifi Ghasemi: Well, we usually don't comment about the quarter in the middle of the quarter. But in general, I would like to say that we are pleased with the improvement in the economy that we see in China after the Lunar New Year, the Chinese economy gained strength, and we are seeing the benefit of that as you have seen in the last quarter, and we should continue to see that in the next quarter. In Europe, the volumes remain flat and maybe a little bit down. But obviously, we are compensating that with the pricing action related to energy costs. And in the U.S., you know very well, David, it's just flat. They are not gaining significant amount of volumes, the economy is not growing that much, but at the same time, we are not going into a recession, at least we don't see that yet. Is that good enough?
David Huang: Yes. And I guess, second, the projects. Just going back to the Indonesia project cancellation, can you give us the background related to that decision? Is that related to the higher coal prices? Was that a factor in your decision? And then I guess the Jiutai project has been delayed for another two quarters. Can you discuss what's driving that delay?
Seifi Ghasemi: Sure. With respect to Indonesia, I mean, coal prices have nothing to do with these things. Coal price is going up and increase the price of the final product. The main reason that we withdraw from Indonesia was that we had started the project about almost five years ago. The project had condition precedents that had to be met and we just were not getting those conditions approved at the different levels. And therefore, at some point in time, you kind of just can't continue waiting for approvals, and we decided that we have opportunities to deploy our cash at other places, and that was the basis of the decision to be drawn. I hope the investors give us the benefit of the fact that we are flexible. We are not -- we react to the circumstances. And we can't keep millions, billions of dollars of Air Products money sitting somewhere for a long time without getting an income for it. And therefore, we decided to deploy the capital at other places around the world, and you will hear about where we are deploying it in the future. The second comment with respect to Jiutai, we have completed the facility on time. But like any on-site business that you're very familiar with, the customer has to give us utilities and provide this raw material for us to get it started. The customer is having some issues with doing that, and that is why we are delaying two quarters.
Operator: We'll move to our next question from Steve Byrne with Bank of America. Please go ahead.
Steve Byrne: Yes. Regarding the higher hydrogen volumes in the U.S., is that presumably driven by renewable diesel? And just wondering whether those customers would be willing to pay a premium for blue hydrogen to get a lower CI score? And if so, are you reconsidering whether to add carbon capture on your existing methane reformers?
Seifi Ghasemi: Steve, yes, you're absolutely right about the fact that if we can provide the customers that are making renewable diesel hydrogen with a lower carbon intensity, that increases the LCFS credits that they get for selling that renewable diesel in California. Therefore, our customers are asking for blue hydrogen and we are considering converting some of our existing methane reformers, put carbon capture on them and provide blue hydrogen to our customers. In addition to that, as you know, our project -- our big project in Louisiana is all about producing blue hydrogen. So you're absolutely right. Those things will drive demand. We are very excited about that, and it will create a significant opportunity for anybody who can come up with blue hydrogen first and that would be Air Products.
Steve Byrne: And can you provide more granularity on what drove the $0.44 drag in other costs? It seems as if this was primarily in the Americas, it looks to be more than $100 million year-over-year. What is in that? And what is your outlook for it?
Seifi Ghasemi: First of all, it is really twice what it usually should be. And the main reason for it is that we had some one-time items in the quarter, which throw that. It has to do with incentive compensation. Obviously, if the businesses are doing better, the incentive comp that people will receive will go higher, we have to accrue for that. And there were some other one-time items that drove that cost. We expect that to come down to something more like $0.20, $0.22 that it has been in the past. And that is driven by the fact that we are investing in the future projects and a lot of the cost -- those development costs, we cannot capitalize and therefore, that number will be with us. We have to compensate a bit productivity and other measures.
Operator: We'll move to our next question from John McNulty with BMO Capital Markets. Please go ahead.
John McNulty: So, Seifi, you guys had put out some really cheap green bonds. It looked like it was like 4% to 4.8%, so almost in line with treasuries. I guess when we think about the cost to borrow for green and blue hydrogen projects, is this kind of a reasonable baseline to be thinking about? And does it make you think about potentially putting some of these projects into more of a project finance mode in North America? How should we be thinking about that?
Seifi Ghasemi: Well, first of all, good morning. John, hope all is well. John, you are absolutely making very, very appropriate and correct statements. We were very pleased with the interest rate that we got for the green bonds. It took us only one day to raise the $1.1 billion, which means that there is a lot of demand for that. And it does encourage us to look for project finance on a lot of our projects. And that will increase the firing power that Air Products in terms of doing more and more of these big projects. So we are very happy about that. And obviously, at the end of the day, the interest rate that we pay, that would depend on what the federal reserve does. But right now, as you said, we borrowed almost -- closest to treasuries, which is very good news for us, and we are very happy about that. And you are very right, it will help us significantly in financing the projects in the future and doing more of this .
John McNulty: Got it. Okay. And then the first kind of big blue hydrogen project you have coming up is -- or at least net zero hydrogen project is the Alberta project. I guess can you give us an update on that as to how it's progressing? And also, I know you've got one customer that's taking more than half of the product or projects of product. Can you speak to the demand for the rest of the -- of that blue or net zero hydrogen demand or production and if you've largely allocated the bulk of that?
Seifi Ghasemi: John, that's a very good question. First of all, that project is moving well. We are seeing a significant amount of demand there. We clearly see that we will be sold out of that facility, and we are actually looking at the possibility of expanding that operation to include more. When we announced it, we did say that this is the first phase of a three-phase operation and we expect to do more there. Considering all of the oil industry in that part of the world and the demand for -- obviously, in Canada, it's a little bit different than in the United States. Canada is moving towards the actual carbon tax. A lot of these refineries actually had to do something. And hydrogen is -- blue hydrogen is the solution. We are in a very good position with our pipeline there, with the land we have there. So, we are very optimistic about that, John, very optimistic.
Operator: We'll move to our next question from Christopher Parkinson with Mizuho. Please go ahead.
Christopher Parkinson: So obviously, everyone's focusing on some of the aspects of the Indonesia project. But how much of your considerations for the next few years has to do with your increasing ability to bid on blue hydrogen projects and everything that's kind of being brought to the forefront from the U.S. IRA? I mean, from a relative basis, how are you thinking about that capital being used elsewhere for your backlog growth on a go-forward basis, once again, specifically geared towards the U.S.?
Seifi Ghasemi: Chris, thank you for your question because that gives me an opportunity to address it. When we look at projects, I've always said, we look at the specific project, the viability of the project and the profitability of the project. If there is a very, very profitable project that makes sense for us to do in another part of the world, we will look at it and we will do some of those things. But there is no question that the IRA has created a significant opportunity for hydrogen in the United States, especially blue and green hydrogen. Air Products is the leader on that. And therefore, I expect a significant part, a significant part of our investments in the future, will be in the U.S. because definitely we are building a green hydrogen facility in Northern Texas that we've announced. We definitely need to be -- there's another giga green hydrogen project in the United States because of the demand. There are significant opportunities for blue hydrogen in the United States that can be realized because there is possibility of sequestration of the Gulf Coast of the United States. So the -- and natural gas prices are cheap because for blue hydrogen production that we can easily make it and then export it. Therefore, we are very bullish about that. We are very excited about that. And IRA is designed to promote investment in the United States. That is going to happen, and we will be a big participant on that. So I mean, I can't give you exactly the book in the next five years, 80% of our investment will be in the U.S., but it will be a substantial part of it. But at the same time, if there are other interesting projects, as I was telling John McNulty a few minutes ago, with the increased ability to project finance some of these, we will do projects in other parts of the world if they are interesting and lead us to further growth in other parts of the world.
Christopher Parkinson: That's very helpful. And just as a quick follow-up, just on Asia in particular, it seems like things were a little bit more flattish on volume when, I'd say, a lot of us were suspecting that things would improve on a sequential basis. Can you just give your latest and greatest update on how you're thinking about the macro specifically in Asia versus the rest of the world?
Seifi Ghasemi: Sure. Chris, we have seen significant growth in Asia because of our smaller projects. We did say we have executed about 30 smaller projects. They are not -- they used to be big projects by the old standards, but now we call them smaller projects, $100 million, $200 million, $300 million project. In semiconductors, we have significant additions. In glass, we have significant additions and in other traditional nitrogen generators and all of that. So, we are doing very well. We are gaining more than our fair market share in that part of the world, and we continue to be optimistic about that part of the world in terms of economic growth.
Operator: We'll move to our next question from Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Just wanted to follow up on your intentions to allocate more capital in the U.S. going forward post the IRA. Just curious, if you have a thought or a preference towards the structure of those investments, whether they'll be akin to the big Louisiana mega projects or if they will be more sort of on-site at customer projects or perhaps a mix of both, or if you have any thoughts or preference between those two?
Seifi Ghasemi: Vincent, it's always good to talk to you. It will be a mixture of those things, as you have seen from our announcements, Vincent, the announcement that we put out last night, those are on-site projects at customer sites. The Eastman project is on the side of Eastman and the other one is on the side of LyondellBasell. So, we will do a mixture of both: stand-alone ones where we can feed our pipeline or dedicated ones or a combination of the two of them which has been our model and we will continue doing that. The interesting thing is that this increase in demand for green and blue hydrogen is across the board. It is not that one customer has decided they want to do that. Everybody has to do that. Every refinery in the United States has to decarbonize. Every steel plant has to decarbonize. Every cement plan has to decarbonize. Every glass plant has to decarbonize. Therefore, every heavy transportation has to decarbonize, and the only way to do that is using hydrogen. So that demand will be there, and it will be a mixture of on-site, standalones and all of that. So we will be doing all of the above, as they say.
Vincent Andrews: Okay. And as a follow-up, with all of this activity post the IRA, there's obviously more competition for capital to invest in gas projects of all types. So in sort of the more traditional gas projects, sort of non-IRA-driven, are you seeing better project returns available because of the competition for capital? Or has that not happened yet?
Seifi Ghasemi: I think it will happen in time. Your assessment on that is very correct. It will happen in time, yes.
Operator: We'll move to our next question from Mike Leithead with Barclays. Please go ahead.
Mike Leithead: First question on Europe. Can you just speak to the improvement in earnings sequentially? It looks like versus last quarter, volume was up 3%, price was down and EBITDA was up 21%. So can you just talk to the big margin improvement there?
Seifi Ghasemi: Yes, the big margin improvement is driven by the fact that when energy prices were going up significantly, at the beginning we lagged it. As you recall, 1.5 years ago, we had a lot of issues with the investors about erosion of our margin because we couldn't keep up -- increase prices fast enough to keep up with energy prices. So, now we have caught up with that. So, now at the other end of the cycle, energy prices are decreasing and therefore, it gives us an opportunity to increase our margins and make more profit to the bottom line. It's kind of making up for what we lost before.
Mike Leithead: Great. That's helpful. And then second, John asked earlier about your next upcoming net zero hydrogen project, if I could maybe take that one step further and ask about the following project. Could you just update us on the current status of the World Energy SAS facility for 2025?
Seifi Ghasemi: We are working on that project. We have gotten almost -- most of the permits that they need, and we are waiting for one or two of them to start actual construction. Engineering is going on. So that project is moving forward as planned, as of right now. Now we have to look at other opportunities and how we can enhance that project. But the project is moving forward, and the demand for sustainable airline fuel seems to be improving. And other people seem to be very interested in the product, so that they can decarbonize.
Operator: We'll move the next question comes from Josh Spector with UBS. Please go ahead.
Chris Perrella: It's Chris Perrella on for Josh. I just wanted to follow up on the volume impact from all the customer maintenance in the quarter and potentially how that boost volumes sequentially as those customers begin to operate again.
Seifi Ghasemi: Chris, well, we are hoping to see that. And that is why when you look at sequentially in terms of the earnings share guidance that we have given you, you'll notice that if you do the math, you need to have a pretty decent and robust fourth quarter to meet our guidance of $11.30 to $11.50. So, we do expect that exactly what you said.
Chris Perrella: Right. And then just a follow-up with the European volume, I know that the on-site had picked up in Europe. Just could you give some more color on what you're seeing both in the merchant and the on-site business in Europe?
Seifi Ghasemi: Yes. Our on-site business compared to last year is doing better, and our midstream volumes are kind of flat, nothing significant to report.
Operator: Our next question comes from John Roberts with Credit Suisse. Please go ahead.
John Roberts: I'll ask just one question here. Where is Air Products on its disassociation technology? And when do you think we'll see the first one of those major projects?
Seifi Ghasemi: John, excellent question. We have developed the technology in terms of how to crack the ammonia back to hydrogen. And we are going to -- we are in the process of designing and building one of these. And I expect that in about 2 years or 2.5 years, you will have one of these things at commercial scale operating even before we actually have blue or green of ammonia to put into it. We are going to build it and test it with ordinary ammonia. I'm very optimistic about that. We have the technology, it works. So that's competitive advantage that we have over people, John, as we have talked about before.
Operator: Our next question comes from Mike Harrison with Seaport Research Partners. Please go ahead.
Mike Harrison: Maybe a follow-up on the question that John just asked about the dissociation technology. Is that something that you could potentially sell as a sale of equipment for others who are interested in cracking ammonia to get to the hydrogen?
Seifi Ghasemi: Mike, on that one, I think what we will probably do is that if anybody is interested in cracking ammonia, we will suggest to them that we build the plant for them and crack the ammonia back to hydrogen and sell it to them a sale of gas. Even if they have the molecules, the original nitrogen -- the ammonia comes from somebody else. I don't think we will be licensing that at this stage. But I don't want to predict the future. And if there is specific customer who wants huge quantities, we take a look at it. But it is a proprietary technology the same way that we don't license our LNG technology. I don't see us doing that.
Mike Harrison: All right. And then in terms of energy and power costs in Europe, obviously, they've come down quite a bit from where they were over the winter. But what are your expectations as you start to look at the fall and winter for this year? Are you expecting that we could see another increase or spike in energy and power costs there?
Seifi Ghasemi: If I make any comment on that, it would not be that credible because nobody knows how that will move, right? I don't know. I really cannot answer that question because it will be a very difficult thing to pretend to project what is going to happen to energy prices in the future in Europe, right? It depends on the world. It depends on what else will happen. So I just don't want to pretend as if I know something that I don't -- I have no idea, Mike.
Operator: We'll take our next question from Kevin McCarthy with Vertical Research Partners. Please go ahead.
Kevin McCarthy: Seifi, would you comment on the recent and future trajectory of your backlog? If I look at Slide 12, you show $11.3 billion as the amount remaining to be spent on the backlog. I think that's down about $4 billion sequentially. Presumably, some of that's Indonesia. But as you redeploy that capital, can you comment on how you would expect that number to trend maybe over the next year or so?
Seifi Ghasemi: Go up. It will continue to go up because we are working on a lot of projects, Kevin. And I fully expect that, that backlog will grow because one of the things that is -- one of the things which is not in that backlog is that we have put zero amount for the green hydrogen project that we are doing in Northern Texas. And obviously, we will not put it in our backlog until we get cleared -- get the permits and so on. But that by itself is a significant amount.
Kevin McCarthy: I see. And then secondly, if I may, with regard to your carbon monoxide projects and new contracts that you announced yesterday, I normally think of CO as a co-product of hydrogen. And so will you get additional hydrogen from the new plant in Texas City? And if so, maybe you can speak to what process and what color hydrogen and the fate of those molecules?
Seifi Ghasemi: Well, that is a very good question. We did put out the announcement because we are obviously transparent and we want you to know what we're doing. But the other end, there's a lot of constraint from the customers about the price and the volumes and all of that. They don't want us to disclose that. But here is actually a very good example of the competitive advantage that Air Products has, is -- you're absolutely right. It can make CO and then by-product is hydrogen. But we do have our pipeline. Our pipeline is sold out. We do need additional hydrogen, and therefore, we will put the hydrogen in our pipeline and sell it. The demand is there. So that was one of the main reasons that we were able to get those projects. And basically on one of them, we displaced an incumbent who has been there for a long time because they didn't have the competitive advantage that we have.
Operator: Our next question comes from Marc Bianchi with CD Cowen. Please go ahead.
Marc Bianchi: Could you comment on the status of the NEOM project finance? I believe there was supposed to be a dry close shortly after the last earnings call.
Seifi Ghasemi: The dry close has happened. And now, we are basing on what is called the wet close. The dry close is kind of the banks make their commitments. And then the wet close, where we actually receive the money and the commitment, happens usually two, three months after that, after all of the condition, precedents has happened and the lawyers have spent enough time to make a lot of money. So, that is -- that process is underway. So we have had the dry close, and the process is underway in order to get the wet close done. It's going to take some time until we get there. And when we get there, we'll obviously put out a press release immediately and let you know.
Marc Bianchi: Okay. But still on track versus what your prior expectations were?
Seifi Ghasemi: That is correct.
Marc Bianchi: The other question I had is, first, a specific question, but also more broad around IRA, with the specific part relates to how the IRS is looking to handle tracking the carbon intensity of electricity that's going into making electrolysis hydrogen. I think there's some uncertainty as to how that's going to happen. And I'm wondering how that might apply to any of the projects you've got either in backlog or under consideration. I think perhaps, New York might have some exposure to that issue. And then more broadly, I think there's some question as to are there areas of IRA where there's uncertainty with how IRS will handle things. And then Republicans seem to be trying to dismantle IRA, and I'm wondering if that gives any pause to the project opportunities that you're looking at.
Seifi Ghasemi: Well, first of all, with IRA, you're absolutely right. It's a law. Now it has to be translated into rules in terms of how you apply it. I would just like to make comments. From what I see -- we think that IRA is a good legislation for the world because it promotes decarbonization and addresses global warming. It is focused on hydrogen, which is obviously our business. That was the right thing for them to do. Now in terms of what will happen to it and all of that, I cannot comment on the political situation. But specifically, I would like to say that Air Products position is very clear. First of all, with our project in New York, we are getting power from the Niagara Falls. It is continuous power, 24 hours a day, green. Therefore, we don't see any issue with that. But we have been very public that we believe that you can only make green hydrogen and call it green and not faking it is when you can prove that you are doing that every hour, not average over a year and so on because that doesn't make sense. That is the rule that Europe has adopted. And besides that, anything that you make in the United States has to be a product which is tradable. So we need to follow the lead that Europe has had in terms of the audit production and measuring it on an hourly basis, prove that you are making green rather than saying, well, the sun is shining. I'm making green. But during the night, I'm using the dirty grid to make hydrogen, but we call it green because I made more -- I sold some power during the day to be green. So we have a position on that. We have expressed that position to the government, to the Department of Energy and all of that. So, that, we are very public about where we stand on that. But you are very right. All of these things do need to get translated into law. But I would like to stress that the projects that we announced, they were -- our project in Louisiana and so on, they're all pre-IRA. So IRA will help. But that wasn't the primary reason we did that. The primary reason that we did that is because we think there will be demand for these projects. If IRA doesn't exist, then the price of hydrogen will be higher. If there's -- IRA exists, the price of hydrogen will be lower because you have the incentive and the customer will benefit from someone.
Operator: That concludes today's question-and-answer session. Mr. Ghasemi, I'd like to turn the floor back over to you for any additional or closing remarks.
Seifi Ghasemi: Thank you very much, I really do appreciate that. I would like to thank everyone for joining our call today. I know how busy everybody is. We appreciate your interest in Air Products, and we look forward to discussing our results with you again next quarter sometime in early August. Please stay safe and healthy, and all the best to everyone. Thank you.
Operator: This concludes today's call. Thank you again for your participation. You may now disconnect, and have a great day.